Operator: Good morning, ladies and gentlemen, and welcome to the Standex International Fiscal Fourth Quarter 2025 Financial Results Conference Call. [Operator Instructions] This call is being recorded on Friday, August 1, 2025. I would now like to turn the conference over to Christopher Howe, Director of Investor Relations. Please go ahead.
Christopher H. Howe: Thank you, operator, and good morning. Please note that the presentation accompanying management's remarks can be found on the Investor Relations portion of the company's website at www.standex.com. Please refer to Standex's safe harbor statement on Slide 2. Matters that Standex management will discuss on today's conference call include predictions, estimates, expectations and other forward-looking statements. These statements are subject to risks and uncertainties that could cause actual results to differ materially. You should refer to Standex's most recent annual report on Form 10-K as well as other SEC filings and public announcements for a detailed list of risk factors. In addition, I'd like to remind you that today's discussion will include references to the non-GAAP measures of EBIT, which is earnings before interest and taxes, adjusted EBIT, EBITDA, which is earnings before interest, taxes, depreciation and amortization, adjusted EBITDA, EBITDA margin and adjusted EBITDA margin. We will also refer to other non-GAAP measures, including adjusted net income, adjusted operating income, adjusted net income from continuing operations, adjusted earnings per share, adjusted operating margin, free operating cash flow and pro forma net debt to EBITDA. Adjusted measures exclude the impact of restructuring, purchase accounting, amortization from acquired intangible assets, acquisition-related expenses and onetime items. These non-GAAP financial measures are intended to serve as a complement to results provided in accordance with accounting principles generally accepted in the United States. Standex believes that such information provides an additional measurement and consistent historical comparison of the company's financial performance. On the call today is Standex's Chairman, President and Chief Executive Officer, David Dunbar; and Chief Financial Officer and Treasurer, Ademir Sarcevic.
David A. Dunbar: Thank you, Chris. Good morning, and welcome to our fiscal fourth quarter 2025 conference call. Fiscal year 2025 was a turning point for Standex. We are a different company than we were even a year ago. We've been laying the groundwork for years, and our growth drivers have now crossed the threshold. They are scaling. They have reached an inflection point and are beginning to move the needle in a meaningful way. I'm very excited to share with you what we are seeing and how it is shaping our outlook. I would like to thank our business and corporate teams for navigating this past year and achieving a record profit generation in fiscal 2025. Now let's look at the results beginning on Slide 3, key messages. In the fourth quarter, sales increased 23.2% with contributions from acquisitions, partially offset by a slight organic decline. Electronics grew slightly on an organic basis with a book-to-bill ratio above 1 and organic orders up 16% year-on-year. This represents the first quarter of organic growth since 2023 and signals strong momentum into 2026. Our fiscal fourth quarter sales into fast growth markets increased to 28% of total company sales. New product sales added approximately 2.8% to sales, ahead of our goal of 2%. Our Grid Technologies business continues to perform ahead of our expectations. To support strong global demand for electrical equipment, we are expanding Amran/Narayan capacity with lean projects and additional shifts in the core facility. I am also excited to announce that in the quarter, we established a site in Croatia to serve European customers. We expect to be shipping product from Croatia within 4 months. Operating performance was very strong in the quarter. We achieved record adjusted operating margin of 20.6%, up 120 basis points sequentially and up 350 basis points year-on-year. This operating performance, along with our cash generation and cash repatriation, enabled us to lower our net leverage ratio to 2.6x. Following record profitability in fiscal 2024, we again achieved record milestones in adjusted gross margin, adjusted operating income and adjusted earnings per share. In fiscal year 2026, barring any unforeseen economic global trade or tariff-related disruptions, we expect revenue to grow by over $100 million with continued adjusted operating margin expansion. This will primarily be driven by mid- to high single-digit organic growth in Electronics, double-digit organic growth in Engineering Technologies and the contribution from recent acquisitions. In fiscal year 2026, we expect new product sales to contribute approximately 300 basis points of incremental sales growth, and we anticipate releasing more than 15 new products. Sales from fast growth markets are expected to grow approximately 45% year-on-year and exceed $265 million. On a year-on-year basis, in fiscal first quarter 2026, we expect significantly higher revenue, comprised of contributions from recent acquisitions and organic growth and significant operating margin expansion. On a sequential basis, we expect slightly lower revenue as the impact of recent acquisitions, higher sales in fast growth end markets and realization of pricing initiatives are more than offset by project timing in Engineering Technologies and the impact of seasonality in Europe within Electronics and Engraving. We expect slightly lower adjusted operating margin due to lower sales and less favorable product mix. Please turn to Slide 4. Our growth drivers have reached an inflection point. There are 4 sources of growth that will help deliver above-market increases in 2026. In fact, they will deliver growth even without a general market pick up. First is new product sales. As you know, we began ramping our R&D spending in 2020. New products began to be released in 2023, accelerating to 16 product releases in 2025. Sales of new products increased from $38 million to $55 million in FY 2025, exceeding our internal expectations. We expect their sales to continue to ramp and to be joined by more than 15 new products to be released in 2026, giving us confidence that incremental new product sales will add about 3% to our sales in 2026. New products, once released, take time to reach full commercial impact. In our customer intimacy business model, success depends not only on product innovation, but in deep collaboration with our customers. Our products are often designed into our customers' own systems, which require internal approvals, engineering validation and their own development time line. This results in a natural delay between product release and peak revenue. But once adoption begins, momentum builds and endures. Products introduced in prior years continue to ramp even as we launch additional new offerings. This layered effect creates a compounding engine of organic growth that is both durable and scalable. It has taken a while to get this momentum, but we are building a long-term new product capability in this company. And as it used to be engineer, I think it is beautiful to watch. The second source of above-market growth is our presence in end markets with long-term secular tailwinds and above-average growth. This has been a focus for some time, and our 2 acquisitions in FY '25 increased our presence in electrical grid, space and defense market, ramping our total fast growth market sales to $184 million. All of these businesses are expanding capacity to serve our customers, and we expect sales to grow to greater than $265 million in fiscal 2026. This is also beautiful to watch. A third source of momentum is the support we are giving to recent acquisitions to maintain their growth rate. We are now bringing up a new site in Croatia for Amran/Narayan and are positioned with McStarlite to win new applications that the combined Standex McStarlite capability is better positioned to win. Last but not least, is success at the blocking and tackling of winning new awards in our business through commercial excellence. Two noteworthy areas stand out. Engineering Technologies has been awarded applications on next-generation missile programs, which are moving to production. Engraving has successfully expanded into niche production of parts requiring our proprietary know-how. Based on the above, you can see that the incremental contribution from new products, sales into fast growth markets, successful acquisition integration and new program wins lead us to our fiscal year 2020 outlook of over $100 million in incremental sales. I will now turn the call over to Ademir to discuss our financial performance in greater detail.
Ademir Sarcevic: Thank you, David, and good morning, everyone. Let's turn to Slide 5, fourth quarter 2025 summary. On a consolidated basis, total revenue increased approximately 23.2% year-on-year to $222 million. This reflects a 23.4% benefit from recent acquisitions and 1.2% benefit from foreign currency, partially offset by organic revenue decline of 1.4%. Fourth quarter 2025 adjusted operating margin increased 350 basis points year-on-year to a record 20.6%. In the fiscal fourth quarter, adjusted operating income increased 48.8% on 23.2% consolidated revenue increase year-on-year. Adjusted earnings per share increased 20.6% year-on-year to a record $2.28. Net cash provided by operating activities was $33.4 million in the fourth quarter of 2025 compared to $28.7 million a year ago. Capital expenditures were $8.6 million compared to $6.5 million a year ago. As a result, we generated fiscal fourth quarter free cash flow of $24.9 million compared to $22.2 million a year ago. Now please turn to Slide 6, and I will begin to discuss our segment performance and outlook, beginning with Electronics. Segment revenue of $115.2 million increased 43.2% year-on-year, driven by 41% benefit from acquisitions, organic growth of 0.3% and 1.9% benefit from foreign currency. Adjusted operating margin of 28.5% in fiscal fourth quarter 2025 increased 640 basis points year-on-year due to contribution from recent Amran/Narayan Group acquisition, pricing and productivity initiatives and product mix. Our book-to-bill in fiscal fourth quarter was 1.03, with orders of approximately $118 million or an increase of $10 million sequentially. Orders in Electronics core business were up sequentially with a continued increase in demand in defense, [ power magnetic ] applications and the electrical grid end market. Since our products are custom in nature, our bookings take longer to convert into revenue, but with stronger margins. Our expansion plans for Amran/Narayan in Houston and India are well underway to support additional demand. We increased capacity by adding second shifts across facilities. In addition, we began commissioning greenfield site in Croatia to serve our customers in Europe and support growing power requirements for data centers and grid expansion and upgrades in the region. We expect first shipments of our Croatia site in the next 3 to 4 months. Excluding recent Amran/Narayan Group acquisition, our new business opportunity funnel increased approximately 27% year-on-year to $125 million. Sequentially, in fiscal first quarter 2026, we expect slightly lower revenue, reflecting contribution from Amran/Narayan Group acquisition, higher sales into fast growth end markets and price realization more than offset by the impact of seasonality in Europe. Although we anticipate slightly lower revenue sequentially, we are expecting significant revenue growth and adjusted operating margin expansion along with organic growth on a year-on-year basis. We expect slightly lower adjusted operating margin sequentially, driven by product mix and continued strategic growth investments. Please turn to Slide 7 for a discussion of the Engineering Technologies and Scientific segment. Engineering Technologies revenue increased 26.8% to $32 million, driven by 25% benefit from recent McStarlite acquisition, organic growth of 0.9% and 0.9% benefit from foreign currency. Organic growth was due to growth in sales from new products. Adjusted operating margin of 18.4% decreased 250 basis points year-on-year due to product mix. Sequentially, we expect slightly lower revenue and adjusted operating margin due to project timing. Scientific revenue increased 2.3% to $17.9 million due to 16.1% benefit from recent acquisitions, partially offset by an organic decline of 13.9%, primarily due to lower demand from academic and research institutions that were impacted by NIH funding cuts. Adjusted operating margin of 24.3% decreased 530 basis points year-on-year due to organic decline and a favorable product mix as a result of the acquisition. Sequentially, we expect slightly higher revenue and similar adjusted operating margin. Now turn to Slide 8 for a discussion of the Engraving and Specialty Solutions segment. Engraving revenue increased 0.6% to $33 million, driven by a 1.2% benefit from foreign currency, partially offset by organic decline of 0.6%. Adjusted operating margin of 15.2% in fiscal fourth quarter 2025 increased 190 basis points year-on-year due to realization of previously announced productivity initiatives and restructuring actions. In our next fiscal quarter, on a sequential basis, we expect similar revenue and slightly higher adjusted operating margin due to seasonality effect in Europe, offset by slightly improved demand in North America and Asia and realization of previously announced restructuring actions. In addition, in the fiscal first quarter, our Engraving business secured the source award from a major OEM in North America to supply soft trim parts for a calendar year 2026 program. Specialty Solutions segment revenue of $23.9 million decreased 1.2% year-on-year, primarily due to general market softness. Operating margin of 18.6% decreased 360 basis points year-on-year. Sequentially, we expect similar revenue and slightly higher operating margin. Next, please turn to Slide 9 for a summary of Standex's liquidity statistics and capitalization structure. Our current available liquidity is approximately $280 million. At the end of the fourth quarter, Standex had net debt of $448 million compared to net cash of $5.3 million at the end of fiscal quarter 2024. Our net leverage ratio currently stands at 2.6x. We paid down our debt by approximately $27 million during the fiscal fourth quarter 2025. In the fiscal first quarter of 2026, we expect interest expense to be approximately $9 million. Standex's long-term debt at the end of fiscal fourth quarter of 2025 was $552.5 million. Cash and cash equivalents totaled $104.5 million. We declared our 244th quarterly consecutive cash dividend of $0.32 per share, an approximately 6.7% increase year-on-year. In fiscal 2026, we expect capital expenditures to be between $33 million and $38 million. Relative to our debt leverage, we will continue to focus on paying down debt and anticipate that our leverage ratio will further decline through fiscal year 2026. I will now turn the call over to David for concluding remarks.
David A. Dunbar: Thank you, Ademir. Please turn to Slide 10. I want to describe the emotions in the company. There is an energy here, and you can feel the shift. After years of building, refining and preparing, the results are starting to show. There's pride in seeing our efforts take hold and excitement in knowing this is just the beginning. The engine we've built is ready, and now we're starting to see what it can really do. I'm very proud of our team for their continued operational execution for the success of our recent acquisitions, both of which helped us achieve record adjusted operating margin for a third consecutive quarter. We achieved record profit generation again in fiscal year 2025, driven by contribution from recent acquisitions, higher sales into fast growth end markets and strong operational execution. Both adjusted gross margin and adjusted operating margin expanded by more than 200 basis points, while adjusted earnings per share increased approximately 6% to a record $7.98. Through debt paydown and profit generation, our net leverage ratio was reduced to 2.6x at the end of the fiscal year. In fiscal year 2025, sales into fast growth end markets were approximately $184 million, exceeding our fiscal year 2025 expectation of approximately $170 million. This was primarily driven by growth in data center demand and grid modernization and expansion. Outside of the electrical grid, we are seeing growth in commercialization of space and defense applications. In fiscal year 2026, we expect sales into fast growth markets to grow by approximately 45% and exceed $265 million. To support our future growth, we continue to invest in new product development and new applications across markets with growth potential. We launched 16 new products in fiscal year 2025 and plan to launch more than 15 in fiscal year 2026, which are expected to contribute over 300 basis points of incremental growth. In fiscal year 2026, we expect to grow revenue by over $100 million with continued adjusted operating margin expansion. Growth will be primarily driven by mid- to high single-digit organic growth in Electronics, double-digit organic growth in Engineering Technologies and the contribution from recent acquisitions. We are well positioned in this fluid economic environment due to regional presence, strong customer relationships and disciplined approach to pricing and productivity actions. We remain on track to achieve our fiscal 2028 long-term targets of sales of greater than $1.15 billion and adjusted operating margin of greater than 23%. We are targeting ROIC of 12.5%, which has been adjusted for recent acquisitions. We will now open the line for questions.
 Operator: [Operator Instructions] Your first question comes from Michael Shlisky with D.A. Davidson.
Michael Shlisky: So I wanted to maybe first talk about the $100 million or more revenue increase in fiscal '26. As I try to break down some of the numbers here, looking at Amran and McStarlite, that could bring in $60 million plus of just annualizing those businesses. And they are growing organically, so it could be even higher than that. You've got the new products, which as you said, 3 points, probably $20 million, $30 million -- you have the other fast growth products as well. So I'm just kind of curious, that $100 million of incremental revenues here, I don't want to say it's in the bag, but maybe could there be any source of upside? Or is that number a very conservative estimate just based on those areas. And then there's also the organic growth on top of that in the other businesses. Just some thoughts as to -- is there any room for upside to that $100 million? And any concerns you might have on areas that might be more of a challenge in 2026 as well?
David A. Dunbar: Yes, Mike, your math is good there. The way we look at it is the full year impact of those acquisitions will bring something over $60 million. The new products just over $20 million. The underlying growth in the fast growth markets. And remember, the fast growth is largely driven by defense, commercialization of space, grid technologies, electrical equipment OEMs. These are customer commitments that will drive this year. There's about another $38 million there. So your -- and if you just stop right there, we've made no assumptions about an overall market growth that would affect the core business and the other businesses. So we've said over $100 million. And if you just add those things up, you could comfortably say $100 million to $130 million or even more for 2026.
Michael Shlisky: Got it. I also wanted to turn to Electronics and your EV business as well. EV business has kind of been in the headlines, EV broadly has been just some OEMs showing sales declines in recent quarters. You've got U.S. policies pointing towards a tougher environment for the EV market as well. Can you comment on how your EV business is doing, whether that's going to still, you think, be a positive for Electronics in fiscal '26?
David A. Dunbar: Yes. We still count EVs in our fast growth markets because we think over time, the prospects are good, a, because there will be a shift to electrical vehicles and our content per vehicle is higher. Although with the growth in defense and grid, it's a smaller piece of our fast growth markets. In '25, our EV sales did dip a little bit from '25 -- from '24 -- I guess, yes, just slightly dip from '24. As you recall, our position in EVs is largely with the European brands with their higher-end models. And with new model introductions, we anticipate a nice growth in EVs in '26.
Michael Shlisky: Got it. Maybe one last one for me, turning to the Amran business in Croatia. You said it will be open in the next 4 months. I just want to get a sense as to the ramp-up run rate there and how fully booked that facility already is and whether that will be kind of in the same sense, in 4 quarters from now, you'll have some great growth in fiscal '27 as that also ramps up. Just kind of curious as to how the cadence might turn out.
David A. Dunbar: Yes. So we're starting -- we have customer commitments through this year, and we'll ship, I don't know, single-digit millions probably in fiscal '26. But as we look over 3 years, we think that will grow -- that can grow to $30 million plus. There's vast opportunity in Europe. So we want to get in the market, get the customers there to visit. They've got to go through their certification and approval process. Once they do that, we anticipate there's some more upside. We may need another site. I don't know. But at the starting point, this will get us $10 million, $20 million, $30 million in 3 years.
Operator: Your next question comes from Ross Sparenblek with William Blair.
Ross Riley Sparenblek: Just starting off with Electronics, just to get a sense of where the kind of run rate demand is. It looks like there was some good core organic order growth in the quarter. Maybe just speak to what's driving that and kind of assumptions going into FY '26 here.
David A. Dunbar: Yes. Just a couple of things. We mentioned in the script that the orders year-on-year are up 16% in the core business, that's about $12 million. Of that $12 million, about $10 million is from OEMs. So this is OEMs as they've designed our products into their next-generation products. So that will convert over the next 3, 6, 9 months. The other $2 million goes through distribution. That's a quicker conversion. A lot of that comes from Asia. We're seeing some pick up in North America. Europe is still relatively stable, I would say. But across your general industry in terms of end market outlook.
Ross Riley Sparenblek: Okay. Are you -- is the expectation this is kind of a new run rate for that segment? I mean it's been a couple of down years. So like there should be some restocking at anything...
David A. Dunbar: Yes, we think this is -- yes. We do absolutely. And Ademir mentioned that our new application funnel is growing. It's at a record high. In large part, that's because our -- the management team now in this last year has put in place more disciplined commercial excellence processes to track opportunities to fill the funnel. So we do think this is sustainable and this momentum will build.
Ross Riley Sparenblek: Okay. And then could we put a finer point on the Amran with the capacity unlock? I mean, strong growth, but there should be maybe a sequential step-up at some point as Europe comes online. Any loose targets you threw out there as kind of a base case or full case on how that can play out.
David A. Dunbar: Well, in some ways, it's embedded in that -- in the fast-growing number. But if you -- to think about capacity. So we've said the Croatia site, I think I just answering to Mike said in 3 years, we think it could be $30 million. A couple of years after that, maybe $60 million plus. In India and Texas, as you know, we've added second shifts. With lean, we're also freeing up some capacity. So they can -- so that continues to support their 20-plus percent growth that they were experiencing before we acquired them, and they continue. Now in North America, we are also looking at an aggressive expansion in our presence in Houston. And depending on where trade and tariffs go to, we'll also look at a Mexico site potentially depending on where trade and tariffs come in at the request of our North American electrical OEMs, and that would be a step-up in capacity as well. So I can't put numbers on it. But if you continue to expect a 15%, 20% growth in Amran/Narayan, I think that's reasonable, and we will add the capacity to support that.
Ross Riley Sparenblek: Yes. I guess my point is almost 2/3 of that business is North America, and you guys have done a lot of work there. I mean 15% seems like that would be a very low bar. Are you getting good pull-through and traction on the capacity has been added in North America thus far?
David A. Dunbar: Yes. Yes, absolutely. We are -- every capacity we have, we're selling. And we have long-term customer commitments to drive future capacity adds. I'm not sure if I'm answering your question.
Operator: Your next question comes from Chris Moore with CJS Securities.
Christopher Paul Moore: Congrats on a nice quarter and encouraging organic growth discussion. So maybe start with Engraving. Just is the restructuring done there?
David A. Dunbar: The Engraving business, we work on tools. And we need to be close to tool shops because tools are expensive and they're not ship a lot. The evolution of the tool makers around the world is kind of shifting. They're in different places now than they were before. And with -- what's the number, 30-some sites now around the world, it's likely that there will be this ongoing process to make sure our footprint matches tool makers. So I think in the coming years, there probably will be some continued restructuring, more to align with where the end market is. With Engraving in general, the way we think about it is this last year, we think demand kind of bottomed out. It was a very tough year for the auto OEMs and their new platform releases. Many of them were delayed kind of waiting for clarity of industrial policy, especially in America. We think that -- our outlook now shows some growth from that. But more importantly, the business to also scramble to find some new opportunities. And Ademir mentioned these kind of differentiated parts that we're making based on our kind of proprietary processes with soft trim. So we think there's a growth opportunity in Engraving. So the markets start to stabilize, come up, and we've got some growth on top of that.
Ademir Sarcevic: Yes. And Chris, if I can just add, there was a lot of heavy lifting in Engraving with respect to eliminating some of the unprofitable sites, so to speak. And most of the heavy lifting is done. So to David's point, there's a little bit of work left to do, but majority of the restructuring actions for Engraving have been completed.
Christopher Paul Moore: Terrific. Have the competitive dynamics changed much in that business over the last few years?
David A. Dunbar: No. It's been more the demand -- in fact, there are fewer competitors now than there were 5 years ago. Because our competitors they're mostly smaller regional competitors. And so depending on what region they're in, it's been tougher sailing for them.
Christopher Paul Moore: Got it. You mentioned and we talked about in the past, the NIH funding on the Scientific side. Just any thoughts there, how significant that is?
Ademir Sarcevic: Yes, Chris, about 1/3 of our sales in Scientific go through a channel that it's either -- it's affected by NIH funding. And obviously, that has impacted our order rates over the last couple of quarters. But in the outlook that we are giving, we are not assuming any pick up or any significant changes in the demand from those -- that type of end market or that type of a channel. So we are more focused around new product, exploring some additional selling opportunities. And if the NIH funding comes back, there will be an upside to the guide that we gave for '26.
Christopher Paul Moore: Great. Maybe just my last one, bigger picture. I mean if rates come down 50 to 100 basis points, does that have much of an impact anywhere?
Ademir Sarcevic: Yes, of course. And our debt repayment, yes, it does. So we're obviously watching that closely. But look, our objective is to continue paying down our debt. Our net leverage is now at about 2.6x, and we think with the operating cash flow that we generate in this company that we can get that leverage down to about 2x, assuming current portfolio of businesses by the end of this fiscal year. So even with this type of interest rates.
Christopher Paul Moore: Got it. I was thinking more from a product standpoint, but perfect.
Operator: Your next question comes from Matt Koranda with ROTH Capital.
Matthew Butler Koranda: Just on ETG, I was curious with McStarlite. Is that accretive to operating margins in the segment? And then are you guys factoring in revenue synergies in the organic growth commentary for this year for ETG?
Ademir Sarcevic: It is similar margins as our core business within ETG as far as McStarlite is concerned. And yes, there are some revenue synergies, which...
David A. Dunbar: No. We've actually discovered some pretty exciting synergy opportunities that our capabilities plus their capabilities allow us to design new parts with an efficiency that neither of us could do in the past that positions us well for future opportunities. Now those take a while to convert. But longer-term, we think that opens up a little higher growth rate for both businesses.
Matthew Butler Koranda: That's helpful. And then maybe just -- I know it's dynamic, but just given the tariff announcements yesterday, is there any way to just help us understand if any of those actions would be impactful to the business? I'd assume maybe the India announcement might be meaningful, but -- and then with regard to copper, any exposure on some of the new announcements there?
David A. Dunbar: Yes. So let me just -- a broad statement. Ademir and I were talking about that this morning, but we have learned to love uncertainty in this company. If you go back 5 years, the most dramatic inflation we ever saw with rhodium inflation, and we put in place practices to handle those disruptions that come from those unexpected rapid increases in cost with pricing practices. We redesigned our product line. And through that whole period, we only delivered higher margins. The inflation -- the post-COVID inflation that struck every part of our business kind of drove that same discipline through all the rest of our businesses. Now if you look back 6 months, the last couple of quarters, we've lived in an uncertain trade and tariff environment and look at the margins we just posted. Our businesses have done a great job identifying how best to deal with that in the short term. Several of our businesses are looking at their sourcing strategies, making sure that any exposure we have is being dealt with identifying and bringing on some new lines. So from a cultural standpoint, we think a highly uncertain environment kind of favors us because I think we've demonstrated we're nimble and agile. The recent announcements, maybe I'll turn it over to Ademir here to look at the actual numbers and what the potential impact is.
Ademir Sarcevic: Yes. So Matt, about 4% of our COGS comes from India. It's mostly within our Electronics segment. And again, to David's point, between pricing, productivity, alternative sourcing, we feel pretty good we got it covered, so.
Matthew Butler Koranda: Super clear. Maybe just last one. The longer-term target on sales, if we use just sort of an implied CAGR off of sort of the -- maybe the low end of your guidance for fiscal '26, it still would imply sort of a low double-digit sales CAGR to get to the '28 target. Is that sort of how you think about it? And maybe just how much of that comes organically versus through acquisition in your current [ indiscernible ].
David A. Dunbar: Yes, let me walk through kind of a high-level bridge. We look at this in a number of different ways. If you just anchor it on 2025, year just finished, $790 million -- our new products were $55 million. This coming year, we expect them to grow about 40%. And we're just getting started with new products. So we anticipate about a 30% growth annually in the new products. Fast growth market was $185 million last year, will grow to $265 million, and we're anticipating about a 20% growth there. In '28, so those numbers, that puts new products at $130 million, fast growth at $380 million. If you anticipate that the core -- the remaining core business, which is about $550 million, will grow about 3% a year, that adds another $50 or so million. That puts us at just shy of the $1.15 billion. In addition to that, we think there's opportunity for a little pick up in the scientific markets. These additional defense opportunities we mentioned provide upside and these engraving wins that we described also provide. So there's maybe a $30 million, $40 million of go-get in the next 3 years, but we've got the opportunities to achieve them.
Operator: Your next question comes from Gary Prestopino with Barrington Research.
Gary Frank Prestopino: Just want to get an idea with new product sales, I would assume the majority of those are targeted to your fast growth markets. Is that kind of a correct assumption?
David A. Dunbar: Yes, there is overlap in there. So Engineering Technologies has -- is a big contributor there. They've developed new products to expand their participation in space. And that's -- those new products are all in fast growth. We've got fast growth in some of our other core businesses, while some of our other businesses, scientific and federal that are just in general industry. So there is some overlap in fast growth. So I'd say about 30%, 30% of the new products go into fast growth.
Gary Frank Prestopino: Okay. So 30% new products into fast growth. Okay. And then as -- we as you scale the fast growth markets and grow the sales as you expect to, is -- can you give us some idea of relative to your adjusted operating margin that you generated this year, what kind of incremental margin increases do you get from growing net sales into these faster growth markets? I mean I assume they've got to have a higher margin profile.
David A. Dunbar: Yes, they do. Just thinking through the businesses. It is higher than the average. So we mix up with every growth in fast growth markets. In terms of how many basis points of gross margin, it's got to be 300, 400 basis points higher.
Ademir Sarcevic: Yes. I mean I think if you look at our projections, and we say we're going to get to over 23% adjusted operating margin by FY '28. If you just assume -- and it's true that our margins when we do sales into the fast growth end markets are higher, you can do back-of-the-envelope calculation and see just on the higher volume, we're going to comfortably get there. And then obviously, we're going to have pricing and productivity actions on top of that, so.
Gary Frank Prestopino: Okay. And then getting back to new products, what did you say you generate -- you put out 16 this year?
David A. Dunbar: In the quarter. So it was 55 in the year.
Gary Frank Prestopino: 55 in the year?
David A. Dunbar: Yes. I'm sorry 16 new products were released. And the sales of products released in the last couple of years that are still new was 55.
Gary Frank Prestopino: Okay. I just want to get an idea, -- was there anything that really drove the boat there as far as growth or in any of those new product categories that you put out?
David A. Dunbar: The biggest numbers in the year with Engineering Technologies sales into commercialization space. These are new products for them that expanded their share of wallet and their content on those vehicles.
Gary Frank Prestopino: Okay. And then just lastly, how would you -- the acquisition pipeline, I know you're always active there. Would you have the appetite to do another acquisition this year, this fiscal year if the opportunity came up?
David A. Dunbar: We're always working the pipeline and a lot of the deals we do are the result of years of relationship building. So we're out there doing that. And with the projection of our deleverage, so now at the end of this quarter, we're 2.6x. We anticipate just in normal course with operating cash flows and things by the end of this year, we'll be at 2x. So we're rapidly developing the powder to be able to do something.
Operator: [Operator Instructions] Your next question comes from Ross Sparenblek with William Blair.
Ross Riley Sparenblek: Just on the Scientific margins, decent sequential uptick with some tougher shipping rates. Can you just give us a sense what played out there in the quarter and kind of expectations looking forward for 2026 as we think about R&D as well?
Ademir Sarcevic: Yes. So from a Scientific standpoint, you're right, the shipping rates are generally okay. The acquisition we have in The Scientific space is actually at a lower margin than our core business. So that's impacting our segment margin, if you will, a little bit. But we do expect as we get into the fiscal '26 with the combination of pricing and productivity actions, we're going to be able to offset and alternative sourcing, by the way, in this segment, we're going to be able to offset the tariff pressure we got coming in because Scientific is the business that sources some of its base products out of China. So we do expect Scientific margins to hold.
Ross Riley Sparenblek: Okay. And then just one more point on free cash. Kind of a tough year. Can you maybe just speak to your ability to maybe get some more turns out of working capital and get that conversion back above 100%?
Ademir Sarcevic: Yes, Ross, great question. Yes. And if you look at our cash flow creation in the last fiscal year, we were significantly impacted too by onetime transaction-related costs. When you do 3 deals in a year and you have to do the payments with the bankers and the lawyers, et cetera, that adds up to be a pretty sizable number. And on top of that, the acquisitions that we did have credit terms with the customers that are much longer than the credit terms that we generally had in our core businesses. So our DSO has actually increased versus what we had prior to the acquisitions. So we are working -- and frankly, some of the structure around collections is in some of those businesses not as robust as we had the standard. So we are working to putting our processes in place around receivables and collections, and we think we're going to make a very good dent and progress in collections and receivables and working capital this fiscal year. So we expect conversion of cash to be much, much better this year than last year.
Ross Riley Sparenblek: All right. So can we hold you to a mean reversion back to 60 on the DSOs?
Ademir Sarcevic: You can -- that's a -- you're going to put me on the spot. Yes, you can hold us that we're going to drive back to that low 60 number. Right now, we are about 69, 70 in terms of DSO. And our goal is over this fiscal year to drive that as close to 60 as we can.
Operator: There are no further questions at this time. I will now turn the call over to David Dunbar, CEO, for closing remarks.
David A. Dunbar: All right. Thank you. Before we wrap, I want to send a special thank you to Tom Hansen, who is retiring from our Board after 12 years. Tom has been a valuable Board member and made many contributions to the company. I also want to welcome Andy Nemeth, the CEO of Patrick Industries, who is our newest Board member. We look forward to working together. Finally, and as always, I want to thank everybody for joining us for the call. We enjoy reporting on our progress at Standex. Thank you also to our employees and shareholders for your continued support and contributions. I'm excited for the company's potential in fiscal year 2026 and look forward to speaking with you again in our fiscal first quarter 2026 call.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.